John Fallon: Well, hi, everybody, and thanks for joining us. I know what a busy week this is for all of you. And I know also what a tough job it can actually be to interpret what's really going on at Pearson from a first half that usually consists of somewhere around 40% of our sales but only around 20% of our profits. So what Robin and I are going to try and do this morning is talk you through what we've seen so far this year, give you our best take on what that tells us about our prospects for 2013 overall and also take a little bit of time to set out the progress we're making on the strategy, the restructuring and the organizational changes that we outlined to you back in February. Before Robin talks you through the details of the numbers, I really want to make 3 points about our performance in the first half. They are entirely consistent with what we saw last year, and in fact, they continue some trends that we've been seeing for some years now. First, we are continuing to win a lot of market share. However, we still face challenges in some markets. For example, in North America, as you all know, college enrollments are down again this year. And the result of that is that we can no longer rely on the old model in which we outperformed our traditional competitors and if we do so, we automatically deliver growth. Second, we are still growing quite rapidly in some key categories and geographies. The categories are digital products and services, the learning systems, the direct delivery of education and the geographies, including Brazil, China, India, South Africa. And third, we do face still significant structural change in what are our biggest geographic markets and product categories. We talked about those structural changes in February. As we said then, they bring great opportunities for us, as well as some challenges. In answer to a question back in February, I think I said something to the effect of that you really didn't need to be a rocket scientist to look at these trends and figure out what we need to do at Pearson. We must accelerate our digital transformation, we must accelerate our move into services, and we must accelerate the building of our presence in emerging markets. And we can only do that if we change the way that we operate as a company, if we shift some resources more quickly from our textbook publishing businesses to fund the fastest-growing opportunities that we see. And I also said back in February that though the Pearson strategy is settled and sound, we really do need to implement -- to accelerate its implementation significantly and urgently. And 5 months on, I think we can report some pretty good progress. First, we continue to drive good underlying sales growth in digital and services in emerging markets, as you'll see and as you'll hear more from Robin. Two, we have now completed the Penguin Random House merger, which both secures Penguin's commercial and creative future and provides some significant opportunities for economies of scale. Third, the restructuring program is now well underway, and it is enabling us to shift resources to fund those faster-growing opportunities. Four, we have begun to reshape Pearson as a single globally-connected learning services company. Fifth, we have now appointed a new senior team of around 100 people, who will lead and deliver on that agenda. And sixth, and significantly, I think, in spite of all that changed, we have delivered a first half trading performance that both enables us to reiterate our full year guidance for 2013 and to raise our interim dividend a further 7%. So I think what we'll do now is have Robin talk you through the first half results and the outlook for the rest of the year, and then I'll come back to talk a bit more about the strategy and the organizational changes that we're working on. So Robin?
Robin Freestone: Thank you, John. Good morning, all. So as John says, given the first half represents just a small proportion of our full year, I'm going to start with our guidance this morning, which some would say is the only thing that really matters at Pearson at this time of year. We've tweaked it only to reflect the impact on disclosure of treating Penguin as an associate from July 1, but otherwise, it remains unchanged. Before net restructuring costs of around GBP 100 million, or about 7p, we continue to expect adjusted EPS to be broadly level for 2012 on a like-for-like basis under revised IAS 19. Overall market conditions remain tough in the developed world and in publishing, but are much better in our digital, our services and our emerging market businesses. In North America, an improving economy is likely to mean countercyclical enrollment decline in higher education this year again. Common Core uncertainty means that the K-12 market is likely to remain subdued this year too. However, we expect continued good growth from our digital products and services, such as the MyLabs and Connections Education, and good initial contribution from EmbanetCompass to generate modest U.S. growth this year. International, we expect continued strong growth in emerging markets to drive growth overall despite ongoing austerity measures and a changing qualification environment in the U.K. and tough rest of world markets. Professional will benefit from continued growth in testing and, of course, the absence of Pearson in Practice. And overall, we expect education margins as a whole to be level with 2012. We expect advertising to remain subdued at the FT but continued growth from subscriptions. And Penguin will be deconsolidated from July 1, and we'll consolidate our share of Penguin Random House after-tax profit in the second half. Penguin will, therefore, be excluded from the 9-month and full year revenue commentary. So looking at the first half and starting with the Pearson-wide numbers, sales were up 5% at CER, helped by acquisitions over the past 12 months, mainly EmbanetCompass, Author Solutions, GlobalEnglish and Certiport, which together contributed GBP 86 million of sales in the first half. FX was positive due to the stronger first half dollar, which averaged $1.53 to the pound compared to $1.58 to the pound in the first half last year. Our underlying sales are up GBP 39 million or 2%, helped by good growth in digital services and emerging markets. Our deferred revenue was also well up again, mainly as a result of growth in digital and service-based sales, which were invoiced during the period but which will be recognized in future accounting periods. Now our first half profits are always susceptible to some variation due to investment phasing through the P&L account. And year-to-date, they're down GBP 49 million or 27% to GBP 137 million. Of this, GBP 29 million relates to the net restructuring charges we took in the first half. Acquisitions and the absence of Pearson in Practice added GBP 25 million, and the balance comprised the timing of launch costs ahead of future market opportunity, higher expected incentive compensation accruals for the sales force after a poor year last year, and higher levels of expense investment in testing and in software to drive future growth. FX was broadly neutral. The profit level was small, dollar-related gains offset by losses in other currencies. And within these profit numbers, there are some reasonably large movements in both directions. So I'll spend a few minutes just driving what's going on in each of our businesses. In North American Education, we increased revenues by 5% at CER, helped by the EmbanetCompass acquisition completed late last year. Overall, our K-12 business was level with 2012 despite tough conditions for our higher-margin clinical assessment business, offset by strong performance from Connections Education, our online schooling business. Across K-12, market conditions remain soft due to ongoing budget sequester and Common Core implementation timetable uncertainties. However, as digital learning gathers pace and the Common Core implementation timetable becomes more certain, we're in a strong position to take advantage of any increased demand. Our Higher Education business grew modestly in underlying terms. Benefiting from some sales delayed into the first half from December last year, we expect this effect to unwind by the end of the year, with further deferrals anticipated as book change delay winter purchases, and a higher sales of digital products means less revenue can be recognized in December. Enrollment levels remained weak during the first half, declining about 2% for the spring semester. However, we again have good growth in our digital programs. And our virtual education programs at eCollege and EmbanetCompass made a strong start. The business made profits of GBP 20 million before restructuring charges, significantly lower than 2012, mainly due to 3 factors: firstly, high development and launch costs ahead of Common Core rollout into the market; secondly, higher incentive compensation accruals compared to a tough year last year; and thirdly, higher student recruitment costs in our online university business ahead of quarter 3 enrollments. These effects won't be so pronounced by the year end, but we continue to expect margin to be down a bit this year in North America, as we outlined at the beginning of the year. In International Education, we grew 2%, with emerging markets up strongly despite being held back by soft post-election year in our public sistemas in Brazil. Our private sistemas continued to grow in double digits, as did our direct delivery sales in other emerging markets, such as South Africa, where CTI grew 25%; China, where our English language training businesses grew 15%; and India, up 14%. The U.K. was resilient in the first half, helped by share gains in qualifications, offsetting tougher conditions in School ahead of curriculum change. Markets in the rest of the developed world were particularly tough, partly reflecting a strong performance from Japan last year as it bounced back from the 2011 tsunami, difficult conditions in continental Europe and a very tough market in Australia, particularly in vocational education. Emerging markets represented 45% of this business during the first half and will be a higher percentage by the year-end. Profits were GBP 22 million lower, reflecting an GBP 18 million net restructuring charge, and investment in class curriculum and next-generation BTEC qualifications and in emerging markets. Our Professional Education business was up 2%. It was helped by strong growth at Pearson VUE, with test volumes growing nicely, and Certiport making a strong initial contribution. Trading for professional publishing was tough. Profits benefited from the absence of Pearson in Practice. At the FT Group, FT advertising revenues were weak, partly offset by a resilient performance from content and subscriptions. FT revenues from content exceeded those from advertising for the first time. Emerging market increased its revenue 6%, helped by the continued rollout of established products into new markets. And profits were significantly higher despite a GBP 4 million net restructuring charge, benefiting from improved digital circulation profitability of the Financial Times, a higher contribution from The Economist Group and the benefit of prior year's restructuring activity. At Penguin, revenues were up 14% against the slow first half last year and reflect a strong underlying publishing performance, particularly in the United States, and the acquisition of Author Solutions, which is performing very well. Adjusted EPS is a little behind last year, at 9.9 pence. Almost 3p of this decline related to the GBP 29 million of net restructuring charges taken through the P&L account in the first half. The balance is mainly in North America, and it's attributable to the factors that I've already outlined. Interest costs were up slightly, reflecting the increased average net debt level across the period. Our tax rate in the first half was 24%. Now I thought it might be helpful just to briefly talk through the mechanics of deconsolidating Penguin from July 1. I've shown here what the first half would have looked like if we had accounted for Penguin as a 47% associate. This is for illustrative purposes only and does not include any contribution from Random House. But it does show 2 important things: firstly, EPS remains unchanged after the deconsolidation; and secondly, adjusted operating profit is lower because Penguin's contribution is booked in associate income post tax, with an equal and opposite tax reduction along the tax line. This is how we'll account for our 47% of Penguin Random House during the second half. The tax rate used in the above pro forma is 33%, which is indicative of the effective rate we'd expect to use on Penguin Random House profits going forward. On a statutory basis, the EPS shortfall compared to last year was a little more marked despite reduced intangible charges following those last year related to Pearson in Practice. This results mainly from one-off costs in discontinued operations related to the setup of the Penguin Random House joint venture. In the second half, we'll be booking a significant statutory profit on the disposal of Penguin as required under IFRS. Our free cash outflow was a little higher during the first half, mainly reflecting lower operating profit and payments of U.S. taxes deferred from last year into this year due to Hurricane Sandy. Our working capital outflow in the first half was lower than last year, mainly due to a slower inventory build. Fixed capital was GBP 10 million higher than the first half, resulting from the consolidation of multiple offices into our new Manhattan office, which we'll move into next month, and investment in customer-facing technology platforms to help our sales force sustain future growth. Our average working capital of sales ratio ticked up over the last 12 months due to continued investment in pre-publication expenditure on world-class qualifications and digital curriculum products ahead of curriculum change in the U.S. and the U.K. The reconciliation of first half spend on pre-pub is, as always, in the back of your packs. Inventory days fell by 17% to just 55 days as we continue to shift fewer print products. And overall inventory fell in sterling terms by 13% year-on-year. We expect our working capital of sales ratio to be noticeably lower by year-end, when Penguin's balance sheet will be deconsolidated. On our balance sheet, our net debt is GBP 659 million higher than the same point last year, reflecting the second half 2012 acquisitions, as well as movement in the balance sheet's dollar exchange rate from $1.57 to the pound to $1.52. Our acquisition spend during the first half was relatively modest, and we still have around GBP 400 million available for acquisitions. We continue to be highly selective and disciplined in making acquisitions. We still have a strong pipeline of opportunities, and we're evaluating them against our normal criteria. As I've already noted, Penguin will be deconsolidated at the full year, and full and half year balance sheets for Penguin can be found in the notes to your accounts. Now as you will recall from the prelims, we have a substantial program of restructuring to accelerate delivery of our strategy going on at the moment. In total, we expect to expend some net restructuring charges in 2013 of around GBP 100 million. From 2014, we expect this restructuring to generate approximately GBP 100 million of annual cost savings. However, in 2014, we will reinvest these savings in organic investment in digital and emerging markets and further restructuring, including at Penguin Random House. In the first half, we expensed GBP 37 million of gross restructuring charges and generated GBP 8 million of savings during the period, resulting in a net charge of GBP 29 million. Our expectations for the year remain the same, so that implies approximately GBP 130 million of gross restructuring charges in the second half, with an incremental GBP 42 million of savings, given a net second half charge of around GBP 71 million, a lot of which is already started. John will explain more about some of the things we've been up to, but of the GBP 37 million gross restructuring, GBP 35 million related to a reduction in a number of people we employ. And just to remind you, we still have a lot to do in the second half, but our solid start means our outlook for the full year remains unchanged. John?
John Fallon: Thank you, Robin. So for several years now, I think we've been very clear about the things that Pearson must do more of: digital learning, data analytics, education services, developing markets, learning outcomes. I think that part of the strategy is very well understood. I think what may be less obvious are the things we are going to do less of and, perhaps, in some cases, things that we are going to stop doing altogether. I realize that this is not something that we've talked much about in the past, but I wanted to start this morning by giving you a few examples of what we are going to stop doing. And the reason this is so important is because it's actually what freezes up in terms of our resources, our time, our innovation, our creativity for the investments that we do need to make in our big growth opportunities. So for example, we are announcing today that we are initiating a process to consider the potential sale of Mergermarket. Mergermarket is a growing business. It's digital. It's global. It's service-oriented, and it has certainly flourished under Pearson's ownership. It's a highly valuable business in its own right, but we don't see it playing any meaningful role in our emerging professional learning strategy. The process that we will now undertake over the next few months, and which we talk a bit more about in the press release, will determine whether we can be persuaded that it is worth more to somebody else than it is to Pearson. In the meantime, I want to share with you some examples of the kinds of changes that we've been making across Pearson over the last few months, the kind of things that we've been spending those restructuring charges on and which we will continue to make through the rest of the year. So for example, the restructuring investment that we're making is enabling us to do things like, for example, as a result of the Penguin Random House merger and ongoing consolidation, we will no longer own and operate 4 of our largest warehouses around the world, and we'll be taking further action in the future. In 10 carefully selected countries, we've stopped local publishing, closed the local infrastructure that goes with it, and we'll rely instead on global products and local partners. Through 2 transactions that are financially small but strategically indicative, we've exited school textbook publishing in Japan, and we've also exited highly specialized niche higher education publishing here in the U.K. Four, in the United States and South Africa, in the U.K., in Australia and throughout Europe, we will, by the end of the year, have significantly fewer people engaged in the publishing, distribution, production and manufacturing of textbooks. Five, overall, as a result of those changes, we will also have a smaller sales force overall, but we'll have a much more high-powered one with the sales force we do have much more focused on solutions, services, digital and learning outcomes. Six, we started to reduce our print-based testing capacity in anticipation and as part of the acceleration of the move to online testing. And we're also stopping printing physical copies of the FT at a further 3 print sites this year, building on the work that we've been doing in recent years, and we'll serve those centers instead through digital additions. Now that may sound like a pretty eclectic list, and there are plenty more examples I could give of the restructuring that's underway, but like all the restructuring we're doing, they do have some common features to get -- that identifies them. First, whilst the activities have all been profitable for us in the past, and many of them can continue to be profitable for some time to come as long as we actively manage the cost base, they do now face some long-term structural challenges in those markets. Two, they lack scale and/or are very local in nature, with little opportunity for us to really capitalize on Pearson's global capabilities and reach. Third, they need quite radical restructuring to be ready for digital transformation or to provide a platform from which we can develop our services activities. And fourth, and as carefully and lovingly crafted as many of these products -- as all of these products are, the reality is they provide inputs into the education system with little opportunity, really, to influence and shape learning outcomes. So these are the criteria that we're using to determine what we stop doing. This is the criteria that drives the restructuring charges that we reported back in February and which Robin has updated you on this morning. That naturally leads on to what it is we're going to do much more of. So let me now share with you some examples of the increased investment that Robin talked about in the first half of the year, where the resulting revenues are really only going to kick in, in a meaningful way next year, in 2014. They're all indicators of the things you'll be seeing us do much more of in the year ahead, and they are all practical examples, if you can recall, of the 4 business models that I talked to you about back in February. The first category of investment, next-generation learning services. So when schools across North Carolina return for the new academic year, next month, teachers, administrators, parents and students will all use a new instructional improvement in student information system. Teachers will access student data and learning resources. Students will access their grades and learning activities. Parents will be able to view their child's attendance and progress records. Administrators will monitor data on students, teachers and schools. This is the broadest school digital learning system that we have implemented. For the very first time, it connects all our products in a seamless way: PowerSchool for student information; Schoolnet for instructional improvement; EQUELLA for curriculum management; content from our curriculum businesses; assessments from our testing business. This is an early indication of being what one integrated company means, one connected learning services company. We can do this not just in American schools, but schools around the world. And as you may have noticed, just as an aside, the Los Angeles Unified School District were piloting a digital curriculum across all grade levels in mathematics and English language, arts, as well as providing the professional development for teachers to implement the new Common Core-compliant program. The bid for the LAUSD put out, the tender specified that curriculum professional development must be integrated with devices. LAUSD shortlisted 3 device makers. All 3 included Pearson as the primary curriculum and professional development partner. These 2 projects in North Carolina and Los Angeles, I think, just give you a hint of what next-generation learning is going to look like in reality and its scale. They combine world-class teaching and learning methods with technology. And the very powerful data sets, they open up, they engage all participants and connect all participants in the school system, and they recognize that successful execution requires substantial, deliberate and sustained change and the ability to manage and deliver that change across the whole school system. And Pearson is beginning to be recognized as an agent of that change. The second category of investment, next-generation assessment here in the U.K. As many of you will know, the government has decided to move to new standards at GCSE and A Level starting in 2015. Our response have been to bring Pearson's unique global expertise to bear. We're benchmarking our qualifications and assessments against the world's highest performing countries. We've compared U.K. qualifications, academic and vocational, with those of the toughest global competitors. We've engaged with the universities and employers to really understand what an 18-year-old needs to succeed in college and career. We're exploring in real depth how to assess higher-order knowledge and skills, how to capture and analyze personalized data to indicate process, how do you assess and value those qualities that employers tell us are most important to students as they progress in their careers. And we're using all of that insight to design global qualifications that are relevant to the needs of the global economy and that serve U.K. students with a rigorous, world-class curriculum. And we're confident that, that globally connected approach is what is going to enable us to continue to grow in the U.K. And it means that Pearson is gaining a similar learner-centric, globally connected reputation for our work in assessment in the U.K. as we are in the U.S., in our work with the PARCC consortium, with ACT Aspire, with the state of New York and with many others. And again, that's something that, in plotted time, we can apply globally as well because everybody is facing exactly the same issues and the same challenges. Third category of investment, inside services. Pearson Inside is our shorthand for a new way of doing business both in school and higher education. We stop short of actually owning and managing the institution, but our fortunes are very directly linked to those of the institutions. As they grow, we grow with them. Our partnership with Arizona State University, which was launched almost 3 years ago to help them grow online, was the first real example of this. Since then, the market opportunity has grown very, very significantly. And as you'll see in this morning, we're now signing up more enterprise-level partnerships, both in the United States and around the world, and the recent addition of EmbanetCompass is giving us a lot more capacity and capability, as well as taking us into the very important postgraduate market. And so for example, you can see that we're working with the University of Maryland School of Business to deliver an online MBA for working professionals. We're investing to apply a similar model in K-12, where our Connections virtual school, as Robin mentioned, is growing very strongly and working with a growing number of charter schools. We're also applying this model in partnerships with global employers, as well as with schools and universities elsewhere in the world. And you may have seen from this morning's press release, we've also recently partnered with Nikkei to provide a suite of cloud-based products to the corporate English language learning market in Japan. It basically combines content from financial terms in Nikkei with a whole range of digital tools that's then embedded into the workflow of global corporations so that their employees can learn from and share with each other, and apply and learn English in a way that's directly relevant to their career and makes their productivity enhanced. This is just one example of the many types of products that we can see that the new professional line of business, which I'll talk more about in a minute, can bring to market. And the fourth category of investment is direct-to-consumer. In the 3 years since Pearson acquired CTI, which, as Robin mentioned, is up 25% in the first half of the year, the number of students studying at our universities in South Africa has almost doubled to 13,000, paying on average $5,000 per student, an example also of how we are all the time creating a much bigger and more accessible market for ourselves as we move into direct-to-consumer. We are busy expanding the physical capacity of our company -- of our campuses, which is one of the areas in which we are increasing the level of investment, so we can continue to grow at that rate over the next 3 years. But we're also looking to build virtual capacity as well because that's what will enable us to grow more quickly. So for example, all first year students this year received their learning materials on a preloaded -- preloaded on a mobile device. It's much more engaging and convenient way for them to study. It makes the teaching and learning much more personal and effective. But also by combining physical and virtual capacity, it means we can grow and expand the business more quickly, and we can deliver more effective learning outcomes to students. And we are doing exactly the same and taking exactly the same approach in our other direct-to-consumer businesses around the world as we really focus on the needs of that rapidly growing middle class that we talked about in February. So all that is great. But for all the progress we've made in recent years and we continue to make, we still have a lot to do to achieve our twin goals of 70% of sales from digital and services, and 25% from emerging markets by 2015 -- by the end of 2015. For example, I thought I might just share with you some conclusions from some recent in-depth analysis that we've done. We know that our organic investment across Pearson is still, for all the progress we've made, too heavily weighted still towards print-based products that are in long-term decline and to geographies where growth is harder to come by. We still have too many brands, and not enough of those brands have real global scale. We still have too many layers of management, too many companies within companies. We still tend to have too much product duplication, platform proliferation, and that tends to slow down decision-making, to blur accountability, and it can undermine our marketing efforts too. And it's still too much of a struggle. It's still too difficult to really free up resources to really invest and get behind the digital transformation and the new more service-oriented products that are vital to the future growth of Pearson. And whilst we really have made a lot of progress and we are, I think, now a long way ahead of the field with our efficacy framework and the way that we're applying that to all our new product development, we do still have plenty to do to prove, with the data to support it, that all our products are high on efficacy and impact on learning outcomes. So the actions that we've been taking since February to transform Pearson into a single globally connected company with a single global education strategy are all focused on tackling these issues. And the reason why I just shared the conclusion of some of our analysis with you is I do appreciate -- I promise you that on a nice summer Friday morning like this and with so much else going on, organizational design may not seem like the most scintillating topic for me to be talking about. The reason we're talking about it is it's fundamental to tackling these challenges and ensuring the future growth of our company and grasping the most of the opportunity that we see ahead of us. So in headline terms, this is how it works. Establishing 3 global lines of business, representing the 3 key stages of learning: School, Higher Ed, Professional. These lines of business will be responsible for the strategy for each learner stage on a global basis, including all our product portfolio and the allocation of all new product development, enables them to develop a much deeper understanding of the needs of learners, which are actually much more similar around the world than you think. And when we invest in major new products and technologies, we can build them from the start to solve international needs and to be scalable on a global basis. We will, in tandem with that, have 3 geographies. We will have primary responsibility for customer relationships, sales, marketing and the delivery of educational products and services. And as you'll know from February, we're organizing by type of market rather than geographical location because a fundamental feature of our strategy is we got to get our resources, our talent, our investment, our scale much more rigorously to where the greatest growth opportunity is, and that will enable us to facilitate that. And these businesses will be supported by a series of global enabling functions, finance, technology, marketing, HR and the like, all organized in a standardized, integrated fashion because we've got to make these functions work much better for us and get much more for our money. What that means is that for the first time, certainly, in my 16 years with the company, we will have a single view accessible to all 40,000 of our people across the company as to how Pearson is organized and what the hundred most senior roles in the company are, and we will build out from there. And the way we're organized is important because it demonstrates that, one, we are now putting efficacy right at the heart of our company, with a new senior role in each line of business and geography as well in key central function. We can't deliver improved learning outcomes unless we do that. Two, those 4 business models that you just heard me talking about, we're embedding them in each line of business in a consistent way because that makes it much easier for us to build one's global capabilities and then to be able to share them multiple times across the company. Three, we're organizing each line of business so we have a much clearer view of product, technology built on common infrastructure developed by our Chief Information Officer, because that's what's going to enable us to rally around the much smaller number, the platforms and products. Four, we're organizing strategy in marketing in a way that gives us a much clearer and a much more insightful view of our learners and our customers and a single view of our company-wide product portfolio. This is fundamental because without it, we can't allocate our resources as rigorously as we need to, to the biggest opportunities. It's what we need to do to be able to focus on a smaller number of globally recognized brands and, again, to ensure that we really put the learner and the outcome at the heart of everything we do. And fifth -- I have many other things I could mention. We're actually pooling our research activities, for the first time, into a coherent model with the leadership and the research agenda provided by our Chief Education Advisor, Michael Barber, well respected in the field of global education, and his team. That's important because, for the first time, it puts Pearson at the heart of a much wider global research network, and that's going to be vital, really, to stimulate greater creativity and innovation in our product development. So I hope that just gives you some sense that, actually, as dry as it may seem, this is a business transformation that will change -- is changing the way every single person in the company works. It's not something we have undertaken or do lightly. It may well prove indeed -- it has already proven difficult, disruptive and uncomfortable. We are doing it at a time when trading is generally tough, when many parts of the company, as you've heard, already have significant restructuring or change programs underway. But to fulfill our purpose, to fulfill the full potential of this company, we must transform Pearson and we must do so quickly. So we will have completed all this work by the end of this year, and we'll run Pearson as one company from the first of January 2014. And all this change is designed with one goal in mind: we want Pearson to seize the opportunity presented by those structural changes that we've outlined at some length in February to be the standout company in what I think is now just emerging as one of the new global growth industries, and that industry is, of course, education. We are worked -- we have worked at a good pace in the first half of the year, and if anything, we're going to have to step up that pace in the second half. We've made a decent start, but it is only the start. And I want you all to understand very clearly that we recognize this very much a work in progress, and there's a lot more still to do. However, as we work our way systematically through this reshaping of Pearson, we are becoming -- I think, Robin and I and the whole team -- much more confident that we do have the ability to seize that once-in-a-generation opportunity that I talked about in February, that we can become directly accountable for helping far more people around the world to make progress in their lives through learning. And in doing so, by opening up and creating a much more accessible and getting much more involved in a much faster growing market, we will create a leaner company, we will create a more cash-generative company, and we will create, in time, a faster-growing business too. And that's what all this is driving us towards. So that gives you, I hope, a good update of where we're up to and what we're trying to achieve. Robin, Will Ethridge, John Ridding and myself will now be very happy to take your questions.
John Fallon: Okay, Sami, do you want to go first? Okay. We have a microphone coming, I think.
Sami Kassab - Exane BNP Paribas, Research Division: It's Sami Kassab with Exane BNP Paribas. I have 3 questions today, please. The first one on International Education, given the seasonality of the emerging market and the H1 story in Japan, shall we assume underlying revenue growth to accelerate in the second half of this year within the International Education business, please?
John Fallon: Okay.
Sami Kassab - Exane BNP Paribas, Research Division: Secondly, a few weeks ago, Cengage, in its court filings, argued that the college publishing market would stabilize next year as rentals plateaued, as digital picked up and as enrollment decline abated. Is that a view you share? And lastly, can you quantify the cost savings that you expect Penguin Random House to deliver at the end of the integration phase?
John Fallon: Okay. Well, as Rod and Tamara couldn't be with us this morning, I'll take the International Education question. I mean, I think, clearly, the -- our business in Japan, in particular, had a very strong first half last year as it recovered from the impact of the tsunami in 2011. So that has had a disproportionate effect on the underlying growth in the first half of the year. We're reiterating our guidance this morning that we're expecting good growth in International for the full year. And as you heard, we're continuing, actually to see very good growth in our international -- in our emerging markets through the first half. So I think that probably gives you a sense on that one. On the second part, I'll ask Will to sort of chip in on this. I mean, clearly, as I've signaled, we're continuing to see college enrollments decline this year. At some -- that is a cyclical trend and, clearly, at some point in the economic recovery, you would expect that to stabilize. So you would expect the overall market to improve at some point. When precisely, that will be, I think, remains to be seen. But in the meantime, we are very big believers in self-help, which is why we're driving the business as hard and as fast as we can, gaining as much share in our publishing businesses and really driving hard to digital and services. And Will, I don't know if you want to expand on that a little bit?
William T. Ethridge: Yes. Yes, Sami, we're not counting on enrollments to stabilize. If they do, that's great, but our plan doesn't depend on that. And on rental, that's just one of the latest manifestations of substitutes. So that's all about if you had the print model, which we think is not good for students. It's not good for our business. So it's all about -- those will go away with the move to digital and services. So we're really focused on our plan, which is take share and move to digital, move to services. And that's the real home run because when you do that, then you will really get the efficacy. And then this whole weight of used books and rental and all of that starts going away as you start to monetize more of these shares. So we're not counting on exhaustion factors. We're counting more on our strategy, which we've been talking about for the last several years.
John Fallon: And on your third -- the third question, I think just to put it in context, clearly, we only just completed the Penguin Random House merger on the 1st of July. We couldn't really start any significant integration planning until we got through all the regulatory approvals, particularly in the U.S. and Europe. So we're really now just getting into the detail of the integration planning. You've then got -- the absolutely key sales cycle for the trade publishing business is clearly coming up very quickly now in the run up to the holiday season. So I think you should, therefore, expect that most of the restructuring related to Penguin Random House will happen in 2014 rather than this year. And Robin, I don't know if you want to just remind everybody of the guidance that we've given previously on this?
Robin Freestone: Yes. So when we talked about GBP 150 million of gross restructuring this year, we said we didn't expect much of that, if any of it to be Penguin Random House-related at all. That is still very much the case. But we also pointed out that there is a GBP 50 million restructuring part, if you like, in next year's forecast that we gave you around restructuring. And part of that is related to the Penguin Random House restructuring, remembering, of course, that we only take 47% of their restructuring activity post tax into our numbers. So of that GBP 50 million, a proportion is Penguin Random House, but you need to gross it up to get to what they'll actually be doing. And we haven't exactly quantified for you yet how much of that will be in 2014.
John Fallon: Okay, so could you just hand the microphone just to probably the guy behind you.
Nick Michael Edward Dempsey - Barclays Capital, Research Division: It's Nick Dempsey from Barclays. I got 3 questions, please. Just about International again. I think at the full year results, you talked about the U.K. examination sector being tough or soft, I think you said. And now it looks like it has actually been positive in the first half. Now is that something that's still to come or has it been much better than you thought? And then second question, you talked about winning 31% of new adoptions so far. Can you say what that was last year? I just want to see how you're doing year-on-year. And lastly, on Mergermarket, can we get any kind of sense of the revenues and profits that, that contributes to FT Group?
John Fallon: Yes. So on Mergermarket, Mergermarket makes about GBP 100 million in annual sales and it is a good, profitable, decent-margin business. On International, I'll have -- ask Robin just to confirm this, but I believe that we have started to see some effect in the first half. And essentially, what it is that the U.K. has moved from modular exams to linear, so rather than taking multiple papers, students are taking less paper. So that clearly reduces the overall level of work. So I think that is already reflected in the first half. Robin?
Robin Freestone: Yes, that's right.
John Fallon: Yes. And then, Will, do you want to just talk -- maybe just not -- also just talk a little bit about, one, just, yes, we're performing well in school adoptions, but you do need to understand that there is a lot, lot more to our U.S. Schools business than the school adoptions and that I'd hope [ph] That with all the things that are going on in North Carolina or in LAUSD and elsewhere. And it is a major source of where our -- the investment that Robin talked about is going as well. So Will, maybe you could, as well as addressing the school adoptions this year, talk a bit more generally about that.
William T. Ethridge: Yes, I mean, if you put it in context, when I first talk of our U.S. School, the new adoption business is about $1 billion business. It's now less than $400 million. It was a big part of our portfolio. Now it's a very small part of our portfolio. We do well. Our goal this year was 31% to be first in new adoptions. We're going to end up at 32%. That's pretty solid forecast at this point because it's pretty much in. And we will be #1 overall. And we're #1 in every category, except reading, where we're #2. Last year, we did do better. I think we're about 36%, smaller base. You can get some swings. We're doing well with the one-to-one deals, which is not new adoption. We're doing well in laying the tracks for all this digital learning. We're doing well in open territory. We got a nice big win in New York, for example, that was around sort of all those curriculums [ph] of service and the next-generation Common Core. So the new adoption is still very important. We always want to win. We have won every year, but we also have a more broadly -- broad portfolio, and it's really focused on digital and services. So a good year, and those are the facts.
John Fallon: Okay. Mark? Pass the microphone down, and then I'll come over there.
Mark Braley - Deutsche Bank AG, Research Division: It's Mark Braley, Deutsche. Just sort of one sort of bigger question. John, you talked about kind of bashing your way through the transformational process through the second half of this year. In terms of financials, you've actually not taken -- I'm thinking about the cost aspects of that. You've not actually taken very much charge in the North American business in the first half. I'm just wondering if you can talk about the sort of disruption risk around doing a lot of transformation in that business through the second half. And then just a couple for Robin. Can you remind us what the Pearson in Practice loss was in H1 last year? And the cash held for sale in the net debt calculation, just to check if that's effectively what's sitting within Penguin, is it?
John Fallon: Okay. So on the first point, the very reason that we haven't taken significant restructuring charges in North America in the first half is precisely to minimize the disruption to the business because the major sales cycle in both schools and colleges is in that sort of April, May, June period. So clearly, the restructuring that we are doing in North America is now well underway. So a lot of it is now -- has been announced or is in the process of being announced. So we did it as soon as we got through the major sales cycle. As I mentioned in the presentation, you can't go through this scale of restructuring without risking some disruption. Clearly, what we're trying to do is minimize it as best as we possibly can. And Will, I don't know if you want to talk a little bit more about what the size and shape of it is, and some of the efforts we're making to try to minimize it?
William T. Ethridge: Yes, so we've been doing restructuring for a long time, obviously, with this big change, where -- it was important we announced all of it. But one reason we've been really resilient in North America is we've doing pretty large scale restructuring for the last 4 years. Earlier this year, we did -- we announced our restructuring of our print processing. We did it last year and the beginning of this year, a big restructuring in terms of production. We did not do the sales force during the spring selling season for obvious reasons. We're right in the middle of doing that now. It's going well. And we will have our new constituted sales forces in the fall. And then we have some further restructuring to do around marketing, in part, tied to this global view and local view. So that's really a very high level, the timing of things. And you got to do the sales restructuring this summer, when you end one campaign and you can get ready for the fall campaign.
John Fallon: Okay. So although it didn't fall into accounting in the first half of the year, a lot of it is now sort of underway. And actually, a lot more of it in International is underway as well. But if you think, anything you do in Europe requires 90 days of consultation. So between actually announcing it internally and accounting for it, you do get this time lag. So you will see a pickup in the second half of the year. Robin, do you want to answer the other 2 questions?
Robin Freestone: Yes. So Pearson in Practice loss, Mark, was GBP 11 million in the first half last year. And you're right about Penguin cash. Okay?
John Fallon: Question there, and then we'll come forward from there.
Ian Whittaker - Liberum Capital Limited, Research Division: It's Ian Whittaker from Liberum. Just 3 questions. First of all, I just want to check -- drill down a bit more on North American operating profit for the first half. Obviously, if you strip out the restructuring charges, there's around a GBP 42 million drop in the profitability there. I know you made some comments about it. But given it looks as though the revenue mix is more weighted toward, perhaps, high-margin products, is that profitability drop all down to extra investment? If that's the case, has it been heavily weighted towards the first half? And what are the implications, therefore, for the second half on that? And the sort of 2 other questions, I guess, more sort of big picture. The first thing is more of a question for Will. You talked about the sort of print declining within North American Education business. I mean, sort of could you give us an idea of how long do you sense that will take? And the reason for asking is when you look at the music industry, which had talked about a similar transformation some 15 years ago, it's only just now that you start to see digital sales outstrip physical ones on a global basis. So just wondering how long do you actually think this transition mode will take to come through. And then the third thing is just on book rentals. Again, so the publishers have talked about book rentals sort of starting to flatline, but so far, there hasn't been much evidence of that. You've had Google announce earlier this week they're getting into book rentals as well. So could you give us a viewpoint on when exactly you think book rentals will stop having a negative effect on the higher education market?
John Fallon: Okay. So, I mean, first of all, on the operating profit, I think Robin gave you some good color on the one-off factors that have influenced profit in the first half of the year. And clearly -- and the timing-related nature of those. And clearly, with our profits in North America so weighted to the second half of the year, any impact like that has a disproportionate impact on the sort of underlying performance. If you remember back at the full year, the guidance that we gave for this year was that we expected margins across our education businesses to be broadly leveled with last year. So if you strip out the absence of the loss-making Pearson in Practice, that implied we were expecting some modest trimming back of margins in both North America and International this year. The context for that is, if you think back, we saw a very big increase in margins in North America Education in 2012, and we are making and I think we signaled back in February we were doing this, some fairly significant investments this year. I think we particularly referenced in February Common Core. But then a lot of the things that we're doing around LAUSD, a lot of the new university partnerships require upfront investment from us when we win the contract, and the revenues don't come through until later years. And if you remember back in February, I actually gave you a little case study of what the financial impact of that looked like over a 5-year period and how it had a short-term impact on sales and profits, but then recovered longer-term. So Will might want to add a little. But just before you do, Will, then just on the -- before Will gets on to the second question, I just think the -- just, I couldn't -- the analogy with the music industry is just fundamentally flawed. We are about learning outcomes. You learn by doing. You can't learn just by consuming content either in print or digital format. So if all we were doing as a business was trying to migrate printed textbooks to digital, then I would understand the analogy. That is fundamentally not what we're doing. It's the combination of -- it's this connected learning that really transforms the business of scale, and it opens up a much bigger opportunity for us. So that's the key point that I really wanted to make. But Will, do you want to perhaps expand on that a little bit and then pickup on the digital rental -- the book rentals point?
Ian Whittaker - Liberum Capital Limited, Research Division: Sorry, can I just come back -- sorry, just on the analogy of music is more that the customers -- if you look at the customers, they tend to be a little more stickier towards physical products than the companies themselves expect, which was where the analogy of the music industry...
John Fallon: Again, that just proves even more you've misunderstood the point, because customers are much stickier in the digital world because they're engaged in real time. They're doing homework every day, which they are feeding in, getting automatic feedback, getting marks. So it's the linking of the content, the assessment, the digital learning tools that makes the customer much stickier in the new world than they were in the old world, and actually makes second-hand sales, print substitution much more difficult, as long as you've got that really engaged relationship and as long as you're delivering the outcomes. And that's why I keep banging on about this efficacy. Because if you deliver improved outcomes to customers, I promise you, they'll be stickier. That's what makes the difference and transforms the business. So Will, I don't know if you, then, want to pick up on the book rentals?
William T. Ethridge: Well, I think you had a really good answer, John. I do think our business is different than the music business. At the end of the day, it is about are we helping kids succeed. But first, on just the margin, we have said for some time that our strategy was that during a really tough time in North America, we would be resilient. Our margins went up. We actually outperformed. Our margins went up. And we said, in 2013, you're always going to have not a just completely even investment. We'd be investing more in anticipation for the Common Core at a time when the funding was the toughest. So you do have the biggest investment needs at a time -- and we have said that margins would be down a bit in North America. But the underlying trend has been very, very positive. We're taking share. We're gaining tremendous efficiencies, which we're using to drive investment. And our overall, if you take over the cycle, margins have gone up. On the rental and print, I think it is absolutely true -- what we've seen in digital so far is a real gain in what we call the digital homework, the mastering, the MyLabs, all of that. The students flock to that almost immediately. That's why it just drove our share gain. In terms of the basic textbook, an e-textbook versus a print textbook, they're just basically looking at price. And so that's why you have -- rental is basically a price game. What we're really focusing on now is taking the MyLabs, OpenClass, all that, and having much more of a dynamic textbook that's really more personalized. It's more connected. It can bring in their own user-generated material. It can bring in open resources. And when that happens and when we change the ecosystem, make it much easier to buy and discover and purchase, you're going to see sort of a takeoff like you saw with the MyLabs. So we're not counting on sort of rental to stabilize. I hope it does. I hope enrollments get better, all of that. It could happen, but our plan is not dependent on that. The plan is dependent on really focusing on efficacy and continuing to innovate. And so that's what we're really trying to focus on. And when that happens, I think you'll see students, "I'm now really getting personalized help. I can connect to other people who can help me." And I think it's really exciting, and that's what we're really focusing on.
John Fallon: Robin, did you want to add something?
Robin Freestone: Just one thing, Ian, which might help you. I mean, I think what you're going to see, and you're seeing it in the first half, is that the structure of the P&L account changes in the digital world. What you see there is the gross margin in the first half actually up by 20 bps, which is a little bit unusual. But the fixed cost as to do what we're doing is increasing as well. So if you think about a software world and a direct-delivery world, you get a better gross margin if you get the volume through, so that improves. But your cost of keeping people on the ground, software engineers, to make sure the Huntsville and Mooresville's implementation software we did last year are there; your cost of recruiting students in the first half in order to recruit them and get them on the ground in Embanet and eCollege in the second half; you've got that bit more fixed costs, but you've got a better gross margin business. And you're seeing that happen all the time with us.
William T. Ethridge: I'm glad you mentioned that. And a lot of it's just the variability of timing because we won a lot of these deals, one-to-one, are things that were not in our base last year. They hit, and I know it's sort of timing in May, June this year. So it's a pretty small base, and you can have some variability first half to first half. But the underlying gross margin, the underlying efficiencies, that story is a good one.
John Fallon: Claudio, do you want to... and then we'll come to the front there.
Claudio Aspesi - Sanford C. Bernstein & Co., LLC., Research Division: Claudio Aspesi from Bernstein. Two questions. One, can you please give us an update on the Common Core timetable and whether you still expect a relatively slower ramp-up in sales? And the second broader question, you continue to outline a vision for a digitized environment in schools and universities, but there are other constituencies which will also play a role: one is the unions, one is professors who teach the next generations of educators in education departments in colleges. What I -- what do they think? What is their view and are they going to be supportive or are they going to get in the way?
John Fallon: Okay. A very good question. Will, do you want to just -- I mean, I think the short answer on Common Core is it is coming, but it will be uneven and unpredictable in it's sort of adoption. Will, do you want to pick up on that?
William T. Ethridge: Yes, it's a great question, Claudio. We don't think there's going to be a big-bang approach to Common Core. And so they're scheduled to move to Common Core assessments and curriculum in the school year '14 and '15. We think it will be a little uneven. We are well positioned, but there's concern about the costs in some states, concern about are people ready. There's some concern about whether the test could be too hard, so there are a lot of things going on. But I think what is clear is that the direction to move to new curriculum is going to happen. The move to digital is going to happen. And while the timing may be a little bit unclear, it's going to happen. And people have been holding back for so long -- they can only hold back for so long and they got to move to these new curriculum. You make a really good point, there are constituents out there. And I think one of biggest advantages for Pearson, and I think it sometimes is not understood, is our services approach. So when -- we really had the MyLab's takeoff when we really started to help train the teachers. One of the reasons we won LAUSD is because we are going to be working with the teachers. One of the reasons we got the Huntsville, Alabama, the Mooresville in North Carolina, the reason we're getting -- we got Arizona State is because they said, "Not only do you have the products and the technology and the curriculum, but you actually understand teachers, and you can actually work with them." And I think a lot of people are concerned right now about the Common Core, "I'm not ready. I'm not quite sure what it's going to mean. And I like Pearson because they can help me be ready." And so I think, actually, the fact that people do understand that there's going to be a real change in instructional practice helps us. And more people are now reaching out to us. Because everyone knows they have to do a better job. We know we're not -- we have too high of a dropout rate. Too many kids are not achieving at the world-class standards. So no one's happy with the quality of what we have and they are looking for change, but they want that change to be well planned, and they want to work with partners that can really work with them in a true partnership-services way.
John Fallon: And that is again why the complete -- we're putting this complete focus on learning outcomes and efficacy. Because I think you can see for 10 to 15 years, why has technology been slower to be adopted in the education profession than in any other profession? It is for many of the factors that you say. I think there's now some micro trends that are changing. I think the fact that we now have digital-natured generation, they don't want to power down when they're coming to classroom or university. So they have been much more demanding. And the advent of social media is making them act much more like -- as consumers and be less deferential. So I think they have been much more demanding of institutions, particularly at university level. I think the -- and then we talked a little about this in February. I think the rise of the MOOCs is actually proving to be a positive for us in many ways because it's forcing many traditional -- it's one of the things that's driving many of the universities to seek to form online partnerships with us, because they know they have to respond, and that's forcing them to engage more with faculty and the like. And I think, often, a lot of studies -- we've actually talked about this, just down in South Africa where they've done a major study on this. It's not that teachers often won't do it. I think the sort of supposed resistance and challenges to the teachers' unions can often be overdone. It's often that they can't do it. And the reason they can't do it is they don't have the confidence and the competence. They have not had the change management, professional development and the like. And that's why, to Will's point, it's not enough to have the world-class pedagogy and the brilliant technology unless you understand how to affect change that scaled. And it's those 3 elements that we're trying to bring together in everything that we do. A question down here at the front, and then I have some questions online that I will come to after you. Okay?
Ruchi Malaiya - Citigroup Inc, Research Division: It's Ruchi Malaiya from Citi. And good to see the active portfolio management continue with Mergermarket. I'm just wondering, how likely are we to see any exits from education businesses, not just where they're failing, but where they're growing nicely, but you see them not being aligned with your business?
John Fallon: Yes, well, I -- clearly, we never announce anything until we are ready to announce it and to do it, so I don't want to preempt or prompt any sort of false sort of speculation. But I did describe the 2 things we've done in the first half of this year, which while they were small financial, I think I actually described them as strategically indicative. That was we've stopped doing Japanese language school textbook publishing. We've stopped doing very niche higher education publishing here in the U.K. So it's no longer enough to be a core asset to Pearson, that you're in the business of education. You've got to be able to be in the business of delivering learning outcomes of scale, and there's got to be -- either be digital services, emerging markets, all be providing as a platform. And obviously, a lot of our print-based content has a long future in its own right, but can often provide the platform by which we migrate. I mean, back to Claudio's question, it's often the means by which we have the confidence and the relation -- the confidence of the teachers and the relationship with them to migrate them into a digital world. So that's the way we will be thinking about it. Just before we take more questions from here, I've got some questions that have been submitted online. So I will take these. One here for Robin. So you've mentioned moving to your Manhattan Office next month. I think it's actually slightly later in the year. Yes, we've understood some teams will also be regrouped in Hoboken next year. Two questions: One, are these included in the restructuring plan or are these extra cost saving programs? And can you give us some figures about the full year impact on EBIT? For you, Robin.
Robin Freestone: All right. Well, let's just be clear. The Manhattan office -- there's a lot of questions in there. The Manhattan office opens next month, and we -- I think we start moving people on the 1st of September. So I may have gotten my month out by a little way, but we're not very far away. And that's a consolidation of various offices that we've got in New Jersey, which we'll be closing, and in New York itself. We will open a Hoboken office as well, but that won't happen this year. It will happen late next year, I think from recollection. This is all completely normal, so this is not part of the restructuring at all. The restructuring, actually, is going on regardless of the fact that we are consolidating on to a cheaper building in New York.
John Fallon: Okay. And then a question here, it's very obvious from your commentary today that you're speeding up the transformation from printed books to services and digital online learning. Do you have a goal in mind for, let's just say, 3 to 5 years down the line for a percentage of print sales against total sales? If yes, what would the approximate range be like? And one more question about the reorganization. Should we expect your segmenting reporting to change as well? So I'll deal quickly with the first, then Robin can help us with the second. So clearly, I think as I signaled this morning, and as we've said previously, the plan -- our goal is to have 70% of our revenues from digital and services by the end of 2015. And clearly, overall, the plan is to achieve that by driving faster growth in our digital and services rather than presiding over the rapid decline of our print-based revenue. So I hope that gives some sense on that. And then, Robin, I think we can share, on the basis of the 2012 pro forma numbers, a sense of what the business would look like, both by lines of business and geography.
Robin Freestone: Yes, we can. We can. So you will recall from John's presentation that there are 3 businesses and 3 geographies that we're going to report on from January next year, and we will tell you about those sales/NOI in both dimensions, all right? So you'll get sales/NOI both ways. If you took the 2012 numbers and recut them by geography, we would have had -- and this won't be a great surprise, frankly -- 60%, roughly, in North America; 15% in growth; and 25% in core. And if you did the same thing with our in 2012 numbers, bearing in mind that this will be 2014 by the time we do this so they will have changed, you would've had roughly 45% in School, global School; around 1/3 in Higher Education -- again, global Higher Education sales; and around 22% in Professional.
John Fallon: Okay. There was another question here that just said, "Can you please update us on the expected digital penetration in the U.S. and International Education businesses this year?" I think, Robin, probably the best way to say that on a pro forma basis, we were 56% from digital and services last year.
Robin Freestone: Yes, post-Penguin.
John Fallon: Our goal -- post-Penguin, our goal is 70% by 2015, and clearly, we would expect to be somewhere between the 2...
Robin Freestone: And making progress...
John Fallon: And making progress by the end of this year. Question right at the back, and then I'll come to the colleague here.
Alexander Christian DeGroote - Panmure Gordon & Co. plc, Research Division: It's Alex DeGroote from Panmure Gordon. Just looking at the cash flow statement and then at Slide 10 in the pack, it looks like last year, you spent the best part of GBP 850 million on acquisitions. Correct me if I'm wrong there, but that looks like the number. And then on Slide 10 in the pack, you disclosed GBP 25 million of EBIT from acquisitions in the first half, so annualized, GBP 50 million. Even taking into account that fact that some of these are probably quite immature, that looks like quite a low return on capital to me. So can you talk a little bit about the performance of the assets that you've acquired and whether you think the current run rate on returns is acceptable?
John Fallon: Do you want to fill on that, Robin?
Robin Freestone: Yes. So I mean, there's a few things going on there, so be a bit careful. You see, not all our businesses necessarily contribute in the first half. So you've got some businesses there which will contribute in the second half more than they do in the first. So I don't think you can just take a number and double it in our company, otherwise we wouldn't be making much profit for the year if you did that on a holistic basis. So be careful of that. Also, be careful of integration costs because, clearly, EmbanetCompass which is the largest acquisition we did in, I think, November last year, very late, didn't get much integration costs through last year. We're seeing that coming through this year, and therefore, integration costs are also a feature when you do significant acquisitions. And just please bear in mind, when we talk about integration costs, that is not the same as restructuring costs. That is a different pot of money completely. So I think you need to be a little bit careful about the way you analyze it.
John Fallon: And the previous guidance we've given on the financial returns from -- we expect from our acquisitions is very much intact and very much what we're aiming for and plan to deliver.
Alexander Christian DeGroote - Panmure Gordon & Co. plc, Research Division: Okay. I have a quick follow-up. Just on leverage levels, what's the -- we heard from Reed yesterday, comfort level is at sort of 2x plus. Are you guys there too? Or what's the feeling on leverage?
Robin Freestone: No, I think we're operating at the same rating agency ratings as Reed are, so BBB+, Baa1. I mean, we're very, very keen to keep those ratings, and that's where, when we do the math, the GBP 400 million of current acquisition headroom, before any disposal proceeds should they arise, comes from. So we can look at our ratings. We know what that means in terms of additional debt we could take onboard, and we reckon there's GBP 400 million of spare capacity in that calculation.
John Fallon: Okay, there's a question here. I think we'll probably take this as the last question, so there you go.
Rakesh Patel - Goldman Sachs Group Inc., Research Division: Rakesh from Goldmans. And just one quick question, if I may, mainly for Will. There's been a lot of comments in the trade press talking about pressure on -- or rather anger on cost per test per student. And I wondered if you could perhaps comment, is that -- how are you responding to that, and does that mean pricing pressure? And is that going to extend to further geographies, do you think?
John Fallon: Will, do you want to talk about the pick-up rate [ph] And more where we see the state of the -- the high stakes testing business, more generally?
William T. Ethridge: I think you may be referring -- yesterday, PARCC, which is one of the consortium, announced what the costs per tests will be, and there was some commentary around that. We work with PARCC. We work with all these other -- all these states. We work with SAT, ACT, so we're broadly in the testing business and people work with us because we have really high quality. I think there is concern about testing in a number of ways. Part of it is that people are concerned that the teachers are going to be held accountable now in ways they weren't before. So their own evaluations, a lot of states -- those states had to sign up for a raise [ph] To top money, for example, had to agree to have teacher evaluations, in large part, based on test scores. And that, combined with, okay, well you were giving us the monies to prepare to move to Common Core, are you giving us the money to prepare these new tests, which will tend to be higher because their raising the standards. So it's a very complicated issue, and you really have to look at it state-by-state. What we do with -- we always -- we have great scale, and we make bids that we know will serve our customer and where we'll get an appropriate return. And we'll continue to do that. But there's a lot of swirl right now, and it's sometimes hard to cut through it all. But I think good -- John talked about it. He talked about it very well. It's really important to have next-generation assessments. If you want to have personalized learning, you have to have some way of diagnosing where the kids are. But what's exciting now is it's not just diagnosing where they are, now you can give them the help, and it's personalized help. And so assessments are part of the story, they're not the whole story, and that's what we're focused on.
John Fallon: Okay. All right. Thank you very much for coming. I know Simon's around. Myself and Robin are around. If we can help with anything else, we're happy to do so. But thanks for taking the time in what we know is a busy time of year, so we appreciate it. Thank you.